Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers Investor Conference Call to discuss the First Quarter of 2018 Results and Recent Developments. During today's presentation, all parties will be in a listen-only mode and following the presentation the conference will be opened for questions [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting later today in the Investors section of Research Frontiers website at www.smartglass.com and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expects, anticipate, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor Provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the Company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The Company will be answering many of the questions that were emailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases, the Company has responded directly to email questions prior to this call or will do so afterwards, in order to answer more questions of general interest to shareholders on this call. [Operator Instructions] Also we ask that you keep your question brief in the interest of time. I would now like to turn the conference over to Joseph Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joseph Harary: Thank you, Jerry and good afternoon, everyone. And joining me today is Seth Van Voorhees, he is our Chief Financial Officer and also the President of our VariGuard division, which I am sure everyone enjoyed reading about this past quarter. For me the royalty reports that I focus the most on are from our automotive and our aircraft licensees. This is where the lion's share of our revenues have been coming from. This quarter both Asahi for the S-Class and Pilkington for the Roadsters showed nice increases in their royalties compared to our prior quarter. This is a very good sign. Our increased revenues in automotive means that overall take rates in the magic sky control using our technology are going up. Basically the take rate is the percentage of cars that have our technology as an option on it. How do we know that these take rates are going up? Simple math, because the take rate is the ratio of cars with our technology on it to the total number of cars produced. Since as with most car models the total number of vehicles produced goes down for the typical seven to eight years life of a new car model, and we’re several years into the car models and in all cars within Daimler using our technology. So as you would expect the number of cars being produced in total has gone down. So the higher automotive royalties over a smaller number of total cars means that the take rate is increasing. This year it may be hard to do an apples-to-apples comparison of fee income because of the new accounting standards 606 that came into effect. We're going to try to help here. The new 606 accounting standard gives guidance on how payments on long-term contracts such as our license agreements are allocated over time. But by any measure, revenues were up nicely in the first quarter of this year especially in the automotive and aircraft market. Compared to the same quarter last year revenues were up over 10% compared to the revenues in the fourth quarter of 2017 the recently completed quarter before this one. Reported revenues in the first quarter were up 55%, see you could better compare this quarter's results to last quarters results under the previous revenue recognition standard that applied to us, fee income in the first quarter of 2018 would have been higher than the previous quarter by $105,000 or 37.6%. And to put these revenue increases in context last year revenues for the whole 2017 year were up 22% over 2016. Economic activity was up in all major markets for our technology. Expenses declined in the first quarter of this year compared to the first quarter of last year by a $119,000 or just about 9%. We continue to march steadily in the dissemination towards being cash flow positive. We achieved this by both revenue growth and expense reductions. Our loss this quarter was $159,000 or about 17% lower than the first quarter of 2017. We are getting there steadily and last-year marked the fifth year in a row of declining losses year-over-year. We also strengthened our balance sheet by an equity financing we did with a small group of royal shareholders in February. A shareholder emailed me a question asking if we'd be doing another equity refinancing. If we did, it would also be with strategic investors and if we were doing so it was it would be to advance the mission of as our – mission as a company. So, lets talk more about that mission. We outlined in detail our clear strategy for growing revenues in all five of our last quarterly conference calls for investors. These strategies they are repeating, one continue to develop new licensees; two, continue to grow each of the five markets that our technology is used in; and three, develop new users for our SPD-SmartGlass technology; and four, reduce the cost of our technology to the final customer. We noted on our last conference call, that we expected continued revenue growth from these efforts in 2018 and we're beginning to see these results. Let's take a look at the broader macro trends that are going on in our largest market automotive. First the premium market we are primarily focused continues to do well. Premium brands are outpacing the broad market and there are clear directions in the automotive industry and they all benefit Research Frontiers. Initiatives by all of the major automakers involve reducing CO2 emissions, energy efficiency, electrification and autonomous vehicles. This is also the clear focus of the Disruptive Automotive Technology’s Panel I spoke at this past Wednesday. Electric vehicles are a major production focused by the automotive industry and we focus our efforts here as well. With respect to CO2 emissions, internal combustion engines are certainly not dead but they've begun to be affected by electric vehicles and emissions regulations. Every major automaker are working to make internal combustion engines better and to reduce CO2 emissions across their fleets. We can help with internal combustion engine vehicles. Our glass increases the fuel efficiency according to our colleagues at Continental Automotive by 5.5%. Also emissions are a big issue and are added to the SmartGlass technology can CO2 emissions by 4 grams per kilometer. Starting in 2021, automakers will have in Europe a €95 per gram penalty per car sold in their fleet if targets are not met regarding CO2 emissions. Most automakers face stiff penalties as they abandon their previous plans to comply with this regulation using diesel engines. We can help the automakers here with the emissions compliance in two ways. First, we can help them directly by reducing CO2 emissions by 4 grams per kilometer. This can avoid penalties of €380 or about $450 per car. We could also reduce CO2 emissions across an automakers fleet by making electric vehicles that they produce more desirable to consumers by increasing their driving range by 5.5%. This alleviates what’s known as range anxiety and it’s a definite marketing point among the electric vehicle manufacturers. We and our licensees are working with some of the major and well-known electric vehicle manufacturers, companies you've heard of. Reducing CO2 emissions is a very big issue for the automakers. Only three out of top world’s 11 volume automakers can probably comply with these new regulations. The other eight face stiff penalties of between $100 million to $1.6 billion, according to industry reports that I've seen. We have been talking about this over the past two years at automotive conferences including the one last week and of course directly with the automakers, so they understand the benefits. And now that diesel engines are all but completely taken off the table and analyses has been published as to the exposure that the automakers face and what we can do to help. This is another area where we and our licensees can quantify the benefits of SPD-SmartGlass. And with new regulations coming into place the voidance of potentially $450 per car acts as a nice subsidy and incentive for the automakers to use SPD-SmartGlass in their vehicles. We received by email before this call questions from investors and we addressed many of the general topics in our presentation today. Here are some of the additional questions that were emailed to us. I've been asked for an update on our patent litigation. And as you know, companies don’t typically comment on litigation outside of the court room. Also in the interest of time and so we can cover the other areas about our core markets and businesses. I refer people to our about – for an update on our patent litigation by going through the court docket which is available online. Mr. Heim [ph] asked if we were in compliance with continued listing requirements on the NASDAQ and are we planning a reverse stock split, let me take both questions. Technically we went back into compliance by having our stock traded at least $1 closing bid price to 10 consecutive days. However, NASDAQ still has us on the non-compliant list because they apparently have discussion to look for more than 10 days. They have not made a decision and we have time in any event to regain compliance. To answer Mr. Heim’s other question. No, we're not contemplating a reverse stock split. However, if shareholders want to help there, they can make a direct impact. Stock price especially for small cap stocks such as ours are a function more of supply and demand for the stock within a quarter rather than on fundamentals of the company, which are only announced quarterly. That's why you see fluctuations in between quarterly earnings calls. We will be doing our part by increasing our Investor Relations efforts to increase demand for our stock. Shareholders concerned we do their part to directly increase demand as well. Some of you have indicated that you have bought more stock in Research Frontiers recently and I thank you very much for that. But I would imagine that many of the people on this conference call have not purchased our stock in a while. If you haven't, you can certainly help yourselves and maybe pick up a bargain and also help your fellow stockholders by buying stocks. Mr. Geoff Harvey asked if we've been able to reduce the price point of our technology to the satisfaction of Mercedes. Mr. John Nelson also asked a similar question. So let me address this answer to both of them. The short answer is yes. Mercedes has indicated to us that our supply chain is told them that they could meet Mercedes’ cost reduction targets which we are told will lead to higher production volumes. Perhaps that is the reason behind the increase take rates of the magic sky control option at Mercedes that we've been seeing. They'll put it on more cars independent of customer orders if you know they were making more money on it. I was also asked about other automakers besides Mercedes and what they're doing. As noted in our last call, projects within the automotive for our technology both inside Mercedes and with other auto makers is growing. And since the last conference call there was even more new entrants and projects. Earlier in this call I spoke about some of the macro trends in automotive and these are also certainly helping us as well as the success in getting our cost to the customer down, which is also been helpful. More on automotive later in my concluding remarks. Mr. Ringwald [ph] asked, what do I see is the potential to use of SPD film and products like Panasonic's transparent screen. We've been getting a lot of increase not only in the architectural market that Panasonic is focusing on but another markets as well, that can benefit from combining SPD film and a projected image system. Also the plan from Panasonic is to roll this out in Asia, which started last year. North America which started this year and in Europe, I think that by the time the 2020 Tokyo Olympics comes around, you might be getting a lot of information, content and advertisement on these type of screens. I'll now ask our operator, Jerry, to open up the conference to any additional questions people participating in might have today that we haven't already covered. And if we've not fully answered any questions that are either emailed to us in our presentation today or in the live Q&A that's coming up now, please feel free to call or e-mail us.
Operator: [Operator Instructions] The first question comes from Ishfaque Faruk with WestPark Capital. Please go ahead.
Ishfaque Faruk: Hi, good afternoon, Joe.
Joseph Harary: Hi.
Ishfaque Faruk: My question relates to, you reported much higher revenues from the automotive aircraft and architectural sectors this quarter. Do you have any particular item that was a major contributor at this quarter?
Joseph Harary: I am happy to say that if I look at the royalties that we got from Asahi, from Pilkington and Daimler in automotive, they are all up compared to last quarter which was nice to see. And really those – like I said, those are the royalty reports that I look at very carefully because that’s a lion’s share of our revenue. But also our aircraft was up and I was pleased to see that as well.
Seth Van Voorhees: Okay, in turn that the respective, I look at the raw numbers regardless of what the revenue guidance, in fact last year or this year says, what I look at is how much money are we getting paid in cash from the licensees in these markets and they’re all up.
Ishfaque Faruk: Okay. And in terms of aircrafts are you being installed primarily in the newer ones, newer aircrafts or are in the after market segments?
Joseph Harary: Okay. So that's a great question, Ishfaque. The general aviation market, private jets and turboprops is a strong market for us. And we are standard equipment on things like the HondaJet and Textron’s King Air. And we're also in the aftermarket in about 35 now different models and there's been a whole bunch of other aircraft that are being starting to get the delivered their customers in the general aviation market that have us on it. We are making progress and this is why I like the question, we are making progress with the major aircraft manufacturers and also with the airline customers. And one thing to keep in mind is that we're the only electronically dimmable window technology in the world that can be retrofitted. So if you’re Delta airlines for example and you have a fleet of aircraft that are out there. At any given time, you have planes in the shop for what they call a D check, which is the heavy maintenance upgrade where that replace the seats and the carpeting and modernize the interior, things like that. And because we can be retrofitted, you don't have to change the structure of windows in the aircraft like you have to do on the technology that's in the Boeing Dreamliner. We could take advantage of those D check and other maintenance moments if you will to upgrade. And I must say in attribute to our licensees, they've been really good at making our technology plug-and-play so that you can actually upgrade the windows quite easily now.
Ishfaque Faruk: Okay. So you don't have anything in the aftermarket currently or it is just from general aviation?
Joseph Harary: The aftermarket we have in general aviation in the airline market which is we technically an aftermarket upgrade for most airlines. We don't have anything yet but we're making good progress. I should say, our licensees and we're making good progress there.
Ishfaque Faruk: All right. Thank you, Joe.
Operator: The next question comes from Geoffrey Harvey [ph], a private investor. Please go ahead.
Unidentified Analyst: Hi, Joe. A couple of things, what we're all waiting for, of course is some announcement which you sign another auto OEM. I just wonder where you think that stands and when we could expect something like that to come along?
Joseph Harary: That’s coming, I can’t tell you when, especially not in advance of them.
Unidentified Analyst: But it seems like that we – this has been delayed, we all I think expected something late last year and it seems we're now that we past the auto shows and everything.
Joseph Harary: Yes, I mean if you’ve noticed – if you've noticed the whole industry is in somewhat of a flux. I mean, they're all kind of adjusting to the world, if you will and there's ultimately a good for us but they’re adjusting to a world, where diesel engines are not only not going to be put on cars but existing – I think your dog is barking to my barking maybe.
Unidentified Analyst: Yes, I know, I heard the story.
Joseph Harary: That’s okay, my dog is being very quiet but that can change also right now. They’re adjusting to a world where diesel engines are not going to bail them out of this emissions requirement and some cities in Europe especially have now outlawed diesel engines from coming into the cities themselves. And that has upheld constitutional challenge over in Europe so the auto industry has been very much in a scramble mode right now, it delays something but like I said earlier, it creates a million good opportunities for Research Frontiers because of the four kilograms per kilometer that we save in CO2 emissions.
Unidentified Analyst: What caused the decline in the display market this quarter?
Joseph Harary: Just timing, just timing I mean, some of the projects will probably show up in the second quarter in a much bigger way than even last year in that market. So that's probably just a timing issue when products are shipped.
Unidentified Analyst: All right, thanks very much.
Joseph Harary: Thank you, Goeff.
Operator: The next question comes from Mark Brady [ph], a private investor. Please go ahead.
Unidentified Analyst: Hi, Joe. You haven’t mentioned much about Nippon Glass in the last few conference calls. But the initial presentation by Nippon was they were looking to become much more aggressive and they are working with quite a few auto manufacturers. Can you comment on the activities at Nippon Glass?
Joseph Harary: Well, Nippon Sheet Glass actually has two distinct businesses that are both involved with our technology, we have their subsidiary Pilkington, which is active and as I mentioned their sales grew this quarter from last quarter for the Mercedes roadster. And then we have Nippon Sheet Glass’s one more division which is doing the special glass that's used by Panasonic which I spoke about earlier. So I think they're coming up nicely and we'll see where that market takes us, as I mentioned I'm very optimistic that there's going to be growth in that market but a lot of that also is leading up to a very big market in 2021 the Tokyo Olympics comes around because that’s Panasonic's home turf and they want their name everywhere.
Unidentified Analyst: Joe, another question that I have is just the way you impacted SmartGlass into stoves as a new application, have you considered impacting or implanting SmartGlass into their front doors or even sheetrock doors as a specialty item?
Joseph Harary: When you say front doors of home, yes, of course and also…
Unidentified Analyst: Front doors of home and even just generally sheetrock for a very high plinth house.
Joseph Harary: Yes, we actually have that in our design center and it's quite effective with the architects, so these are all areas that are good used [indiscernible] technology. Some of the most fulfilling conversations I've had with these industrial designers because they figured out uses beyond just the major ones that we have talked about for our technology. It's a very versatile technology.
Unidentified Analyst: How about just general sheetrock for people who are on the real high end?
Joseph Harary: Sure, we've done that where you embedded right in the sheetrock walls and it looks quite good. So if you come to Woodbury I’ll show you how that looks like you'd be impressed.
Unidentified Analyst: Thank you.
Joseph Harary: Thanks a lot.
Operator: The next question comes from Tom Mccarthy with Raymond James Financial. Please go ahead.
Tom Mccarthy: Hi there, Joe. Could you give us the current status of sales for the Panasonic store windows and also what are the likely sales over the next 12 months?
Joseph Harary: We don't have projections because Panasonic does not give those projections even to Nippon Sheet Glass but I did speak about that a little earlier, we're very optimistic about that market and obviously it doesn't matter who are optimistic about it. The key is whether Panasonic and the Nippon Sheet Glass are and they have a nice spring in their step and a roll out plan.
Tom Mccarthy: Are there current shares.
Joseph Harary: Yes, of course.
Tom Mccarthy: And I am sorry, where are they.
Joseph Harary: No, we not disclosing that. I don't think Panasonic would like it if I reveal their business to the market. But they are included in our revenues. They are included in our revenues for the first quarter.
Tom Mccarthy: Okay, very good, thanks for sharing.
Joseph Harary: Thanks a lot John.
Operator: The next question comes from George Wellhanker [ph] a private investor. Please go ahead.
Unidentified Analyst: John, you’ve talked about film width several times. What are the implications of doubling, almost doubling the film width in terms of costs. Does it have any favorable implications or none at all.
Joseph Harary: Well there will be some economies at scale, if you basically coated film, lets say twice as light as you currently coat because you just have higher production capacity for a given a shift. But when you consider that most of the cost is coming from the materials such as the ITO-coated film or the emulsion. It is not going to have that much of an impact other than economies of scale in purchasing. Because, these are highly automated production lines, so you just press a button and it cranks out some – it is not that labor intensive. What I think the real significant storage for wider film and this is something that I am excited about may be sharing a little later on this year with everybody is that it opens up a very, very big market for us. If we look at the use of glass worldwide 27% of the world’s glass goes to automotive. 60% goes to architectural. And in the automotive market one meter wide film that's currently produced by us, it's actually it's pretty much wide enough for almost every automotive application you can think of. Some of those targeting bigger but I think as long as one dimension is one meter or less you're fine. Same thing with the aircraft market, having wider film is not going to be a big deal there in terms of opening up the market. But with architectural most sight lines on buildings are typically done in five foot increments. They have 60 inches between your [volumes] and let's say to your windows. But yes, 40 inch film, 39.5 film produced by Hitachi. So it creates some aesthetical challenges, what you need to – production challenges too. You need to either see in the film, so that within the glass two pieces of film are butting up against each other but that will create a micro stream if you will. And our licensees are pretty good at minimizing that, but if you could avoid it, it's much, much nicer aesthetically and also from a production standpoint lining up that film inside a piece of laminated glass takes some real skill. If the operator had a little bit too much coffee or something that day maybe his hand shakes a drop and it's not as close, it is not as it should be. So having 60 inch film would be a huge advantage there and as I mentioned, I'm excited to maybe talk about that a later on this year. But it opens up the architecture market for us.
Unidentified Analyst: A follow-up question does [indiscernible] equipment, which I understand is approximately two meters the coating heads, could that be used for an SPD film.
Joseph Harary: It could be used. Right now, I think they're coating 1.8 meter wide PLDC film and it is a very similar technology and even after coating they have lowering of PDLC film in terms of putting bus bars in cutting and things like that is very similar to SPD. So it's something that is if they want to they’d have a lot of experience with.
Unidentified Analyst: Okay, Thank you Joe.
Joseph Harary: Thanks George.
Operator: Your next question comes from Michael Kay with Kay Associates. Please go ahead.
Michael Kay: Hello Joe. I hope the increase in fee income could be sustained indefinitely, I think that is very important. Joe what is fact
Joseph Harary: That is our plan. That is our plan.
Michael Kay: Or what is the status of the SPD sunvisors as developed by Vision Systems, will that be on the market any time soon.
Joseph Harary: Well, I think actually a high-level of meeting about that market and probably in a couple of weeks, not probably, in a couple of weeks. So I can't give you an update until after that. It is something that we think there is an excellent market and you're referring to the aftermarket sunvisors that is that existing to glass. But, there's also just to complete the discussion [Audio Dip] that's also a very elegant solution. And if you look for example, the Continental Automotive video commercial that came out there, they have a multi-segmented sunvisor in front of the car that can adjust to things like what angle the sun is coming in at. So you don't have to dim the whole sunvisor, you could dim maybe the top third of it, or the middle third or the top two thirds depending on whiting conditions. So, it's quite a nice use of the technology in that format too.
Michael Kay: And in discussions with potential licensees, did they give any feedback as to what improvements or innovations in SPD would make it even more attractive to them, than it is presently like in terms of either color or some other factors that you could share with us.
Joseph Harary: Wider film, cheaper film and different off shape colors are always top on the list.
Michael Kay: And I assume that where your R&D people are working on.
Joseph Harary: You are assuming correctly, yes that is exactly right.
Michael Kay: Okay, thank you. thank you very much.
Joseph Harary: Thanks a lot.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joseph Harary for any closing remarks.
Joseph Harary: Thanks Jerry, we've been focusing with effort and precision on growing revenues and reducing expenses. We saw a good revenue growth last year and that growth continues with the results shown in this quarter. We’re seeing substantial cost reductions as well, we've had over $2.5 million in cost reductions in the past two years or so. And with five straight years of year-over-year reduction at our net loss, which continued in the first quarter of this year which was another reduction. We are approaching our goal of being cash flow positive and profitable. Let's compare our results for those of our competitors in the major markets now. In aircraft, we're still the longest flying and most reliable electronically dimmable window in aviation. We were also on the most variety of aircraft from fixed wing to helicopters. Revenue this quarter from aircraft were up from last year and from last quarter as well. We believe that we're also making progress with the major aircraft manufacturers and their airline customers as they get more experience with different performance characteristics of different electronically dimmable window technique to create a fast switching screen and uniform change of SPD. And we remain the only technology that airliners can use to retrofit their existing fleets of aircraft. In automotive we continue to dominate that industry with no competitors. Since our last conference call additional automotive OEM’s have stared new projects and new uses for SPD-SmartGlass. Revenues in automotive were also up from last year and from last quarter as well. And in architectural our two main competitors in that space are losing tens of millions dollar and $100 million per year with relatively little show for it. What they have lost in one year exceeds the amount that we have invested in developing as SPD-SmartGlass market since we started new business. And there is between eight and about 35 times our market value for a business that is having vast amounts of money. I can't imagine they'd be – those investors would be happy either. In my opening remarks, I had mentioned that the royalty reports they focused on the most are from automotive and aircraft licensees. This is where the lion's share of our revenues have been coming from historically and these markets were all up nicely this quarter. But I expect in the near future I'll be able to share with you some exciting developments in the works in a different and potentially much larger market in the architectural field. I look forward to that very much. The SPD industry continues to expand with new customers, new users, larger teams of people devoted to our technology and increased economic activity. Our technologies used by large industrial corporations and household brands internationally. Our job is clear, expand the markets, make it accessible to more and more people and more and more industries and grow revenues. The results from this quarter show they were making progress in these areas. We are licensees and their customers continue to work hard and we'll look forward to sharing the results of this hard work with you, our investors. Thank you very much for participating today.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.